Operator: Good day. My name is Desiree and I will be your conference facilitator. I would like to welcome everyone to Aeva Technologies' First Quarter 2024 Earnings Conference Call. [Operator Instructions]. As a reminder, today's conference call is being recorded and simultaneously webcasted. I would now like to turn the call over to Andrew Fung, Director of Invest Relations and Corporate Development. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone, to Aeva's first quarter 2024 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO, and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our first quarter 2024 press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent dates. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-K. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. A webcast replay of this call will be available on our company website under the investor relations link. And with that, let me turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew, and good afternoon, everyone. In Q1, Aeva continued to build on our strong start to 2024 as we executed to our customers' milestones as well as further our commercial traction on new opportunities. I would like to highlight our key accomplishments in Q1. We shipped a record number of sensors to customers in the Q1, including to Daimler Truck. As a result, the first Daimler Truck vehicles equipped with Aeva sensors are now on the road for real world operation in order for Daimler truck to continue to ready their stack for commercial operations. We are excited to enter this next phase and are overall on track with the OEMs development milestones and start up production timelines. We also made significant progress on multiple automotive RFQs. In particular, Aeva completed a comprehensive audit for a global top 10 passenger OEM and advanced on multiple other automotive engagements, which reflects the growing interest and maturity of Aeva 4D LiDAR. To support our commercial momentum, we established a new automotive center of excellence located in Germany, which positions Aeva to collaborate directly and more closely with our existing and new partners in Europe. We believe this team further positions Aeva to expand our automotive momentum. Let's now discuss in more detail our recent business developments. With Daimler Truck, we have successfully kicked off the next phase as our exclusive Tier 1 production supplier for long range and ultra long-range LiDAR. In Q1, we delivered a significant number of sensors to Daimler, which have been integrated into the trucks and are now on the road collecting data. As part of this, our teams are in close collaboration to integrate Aeva’s unique velocity data into their perception stack and continue addressing key use cases needed for safe operation at highway speeds. This work and the real-world data will help Daimler Truck and Torc validate their stack on routes they intend to deploy for commercial use in series production. Overall, we are progressing well on Daimler Truck's milestones on their path to production. We will continue supporting the rollout of additional trucks over the course of this year, as Daimler Truck expands its fleet for on road deployments. As partners, we are jointly on track for Aeva’s start up production in 2026 to support Daimler Truck's market entry in 2027, which they recently reiterated in their post Q1 investor update. As highlighted in their Q1 update, Daimler Truck is making great strides on their path to vehicle launch, where they highlighted the startup testing with the industry first vehicle platform and finalization of the production intent hardware for commercial launch. Finally, before moving to the next topic, we will have some additional updates to share together with Daimler Truck and Torc at upcoming events. The first will be at a Fireside Chat at Financial Times Future of the Car later this week, where I will be joined by Peter Vaughan Schmidt, the CEO of Torc. And later this month, we will be at Advanced Clean Transportation Expo or ACT with Joanna Buttler, Head of Autonomous Technology Group at Daimler Truck and other key management at Torc. We hope to see you there. Now, I would like to provide an update on additional opportunities that we are working on in automotive. Interest for Aeva's unique 4D LiDAR continues to increase following the production program win with Daimler Truck. This is across a range of applications including for both passenger and commercial vehicle programs. Based on our engagements and inbound interests, we are excited to see that the industry is advancing on its trend towards FMCW technology to enable new capabilities, including automation at highway speeds. While the adoption of FMCW has begun first in commercial vehicles, there continues to be signs of similar trends emerging in passenger vehicles with an increasing number of industry participants publicly announcing FMCW initiatives for next generation programs as well as Aeva's growing number of RFQs. In particular, we mentioned last quarter our engagement with a new global top 10 passenger OEM. I am pleased to share that we have advanced as a finalist on this OEM's RFQ, having completed the comprehensive audit and final assessment ahead of their award decision. In Q1, we also progressed on other ongoing automotive RFQs and advanced from the RFI to RFQ stage on additional opportunities. We continue to expect a number of these RFQs to be awarded this year. In addition, the recent rulemaking from the National Highway Traffic Safety Administration requiring passenger vehicles in the U.S. to have standard automatic emergency braking systems by 2029 has the potential to accelerate OEM adoption of LiDAR. And we believe FMCW LiDAR is an enabler for achieving the more stringent requirements. The new standard will require OEMs to prevent forward collision at speeds up to 100 kilometers per hour or 62 miles per hour as well as prevent collision with pedestrians at up to 45 miles per hour, both of which are at higher speeds than what solutions on the road today are reliably capable of preventing. Building on the work that we have done with Daimler Truck, we believe Aeva 4D LiDAR is particularly well positioned to help OEMs achieve automation at higher speeds. Aeva's unique ability to simultaneously deliver long range at high resolution and instant velocity measurement enables our LiDAR to more accurately detect and classify objects at farther distances, even in challenging conditions such as inclement weather. The new standard also requires for the first time that testing for pedestrian automatic braking to be conducted in the dark without overhead lighting. With more than three quarters of pedestrian fatalities occurring in conditions other than daylight, this is another important test scenario where we see LiDAR with its ability to function in complete darkness has the potential to meaningfully improve safety for vulnerable road users by pedestrians and cyclists. Aeva’s 4D LiDAR further improves perception with instant velocity for every pixel that can enable faster and more accurate object segmentation and greater ability to filter out noise resulting in more confidence in avoiding hazards on the road. So overall, we are highly encouraged by this industry development. Our focus is on meeting the growing interest for Aeva 4D LiDAR and converting our current RFQs to production wins. As part of this, Aeva announced a new automotive center of excellence with a local engineering team in Europe out of Germany. This positions Aeva to collaborate more directly and closely with OEMs that we are engaged with in the region and will also allow us to accelerate the validation, testing and as well as providing direct OEM support for their programs. We have assembled a team of industry veterans with extensive experience spanning ADAS, autonomous and software technologies at top OEMs and suppliers such as Mercedes Benz, Daimler Truck and Valeo. We believe this new center of excellence will not only enable us to support our existing engagements, but also better meet the growing interest for Eeva 4D LiDAR on new opportunities. With that, let me turn the call Saurabh to discuss the financials.
Saurabh Sinha: Thanks, Soroush, and good afternoon to everyone on this call today. I would like to review our Q1 financial results. Revenue in Q1 was $2.1 million driven by scaling of Aeries II shipments and NRE revenues. Non-GAAP operating loss was $32.1 million which is near flat year-over-year as we maintained a disciplined approach to capital allocation. Gross cash use, which we have defined as operating cash flow less capital expenditures was $32.6 million in the quarter. We finished Q1 with a total liquidity of $314.3 million which includes $189.3 million of cash, cash equivalents and marketable securities and a $125 million of available facility. As a result, we remain in a good position to continue executing with our existing production partners and to build on our growing commercial momentum with additional production program wins. As Soroush mentioned earlier, we are engaged on a number of RFQs, which are expected to be decided during this year. We believe that the combination of our differentiated technology and a strong balance sheet positions us well to execute on our existing programs and win additional programs. With that, let me turn the call back to Soroush for closing remarks.
Soroush Salehian: Thank you, Saurabh. Aeva is off to a great start in 2024. In automotive, we executed the Daimler Trucks milestone and realized strong progress with multiple automotive RFQs. And in industrial, we are on track with our first industrial SOP later this year with Nikon. I want to thank the Aeva team for enabling these accomplishments and for their continued commitment to Aeva's mission and partners. Looking ahead, we continue to see strong and growing momentum for the adoption of FMCW technology to bring new levels of capabilities to markets in both automotive and industrial. We continue to position Aeva for greater success, having added leaders in their respective fields and maintaining a solid financial position. Together with our strong progress on multiple RFQs, we remain confident in executing on our existing programs and securing additional production wins. With that, we will now open the line up for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Shadi Mitwalli from Craig Hallum. Please go ahead.
Shadi Mitwalli: Hey, this is Shadi Mittwali on for Richard Shannon. Thanks for taking my question. Starting off with the Daimler win, is Aeva experiencing any halo effects after this win to show other start of production wins?
Soroush Salehian: Hey, Shadi, this is Soroush. Happy to answer that. Yeah, absolutely. Actually, overall we are seeing a growing interest for our technology specifically for FMCW especially on the back and heels of the DT Daimler Truck win and a number of imbalance since we have announced that at CS earlier this year. I think one of the things that's very important is we're also seeing this feedback from the OEMs that the win -- the production win that we had with Daimler Truck really helps derisk the OEM's decision as we're -- as they're moving to the next generation platforms as they're completing this pilot initial deployment and their decision to move to FMCW to Frequency Modular Technology. This one really helps derisk that. So, all the concerns or potential comments around hey would FMCW, would 4D LiDAR happen? Is that if It's no longer and I mentioned this on last call as well. It's no longer really a matter of if and now it's really a matter of the execution and the timing of how we make this happen. And we're seeing that feedback directly from the OEM which we're really excited about. And as I mentioned on the call, this also is not just limited to commercial vehicles, especially on the passenger vehicle side. We're now engaged in multiple automotive RFQs. As I mentioned earlier, since it's been about two months only right since we introduced this new top 10 passenger vehicle OEM. We have now made significant progress on that side on this RFQ as well. In the past few months, we have completed a comprehensive manufacturing and quality audit, which is now the second time that we're doing that. And we have now also been finalist on the with the top 10 passenger OEM for the RFQ for the final production award. So, this is significant opportunity. We're on track with the timing of this happening in the next few months this year as we talked about that. So, on the back of this momentum, we are seeing growing interest across both passenger commercial vehicle. And that's also why we talked about earlier that we have decided to establish this new automotive center of excellence out of Europe and Germany to really help us expand our engineering team to work directly with the OEMs to be able to provide direct support and really shortcut some of those interactions and timing of the discussions with folks both in Europe as well as globally. So overall, I would say that we are seeing definitely these tailwinds help us advance on automotive especially on the passenger car side as well.
Shadi Mitwalli: Awesome. That's great to hear and, that makes sense. And then just one more follow-up question. I know you have currently one or you have one top 10 OEM. Are you able to quantify if any of your other RFQs or RFIs are with the top 10 OEMs?
Soroush Salehian: Yeah. Look, we obviously haven't talked about X number of top 10 and X number of top five or whatever it is. But I can tell you that at this point we are engaged on pretty much at multiple significant scale and top OEM RFQs. There is both -- there is folks in different regions. There's passenger vehicles as well as commercial vehicles. But obviously, as we provided the update in this quarter, we are making progress on multiple fronts, but we have been also giving some clear updates on our progress with this specific top ten passenger OEM. So, it's not just one OEM and we're working on that. There is multiple across passenger and commercial vehicles. And decisions are happening multiple of those decisions throughout this year. So that's also the other thing that we're seeing. And overall, from a start of production timing, we also see those to be aligned around the same timeframe with Daimler Truck maybe a little bit later, but around that timeframe.
Shadi Mitwalli: Awesome. Thanks for the color on that. And that's all for me.
Operator: Your next question comes from Colin Rusch at Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much, guys. Now that you've got a number of units -- test units out and you've run your own system on the software side, Can you talk about how much compute efficiency you're seeing for customers because of the real time velocity data? And then also how important the lower power consumption is in some of the decisions that you may end up seeing later this year from customers?
Soroush Salehian: Yeah. Thanks Colin. Happy to answer that. I think one of the things that we are seeing from customers is that, first of all, there is this significant focus on advancing automation towards the highway -- on highway at highway speeds, right? So, the current solutions are getting on the highway, but they're not quite achieving highway speeds. As we've seen and we talked about earlier as well the new ruling by NHTSA to further expand automatic braking with higher speeds, I think is very important is that I think this is going to be a tailwind for LiDAR industry as well. We see that, for our technology for FMCW, a key driving point, because with our technology we have the ability to see further with velocity and the perception enabled by that allows some of those compute and calculations and inferences to be reduced and minimized at the system at the vehicle OEM side. Because of the fact that we effectively are able to bypass a number of inferences and directly measure those things, such as the velocity of dynamic objects. And that helps tremendously both from a satisfactory safety standpoint, from a high confidence of object detection standpoint and classification, but also on the company side as you mentioned. So, this is something that then we see allows OEMs to do two things. One, increase their functionality right without having to keep adding on significant costs right? So that's important, which means we can actually reduce maybe some of the costs on super advanced processing high power or high-cost processing nodes, especially important as you go into mass market. And two, it could also allow them to potentially reduce maybe some of the other sensing modalities that are out there. Obviously, with our technology because it's having a measured distance and velocity, we see potential opportunity that in some of the mass market opportunities that this could potentially replace some of the other sensor modalities. For example, maybe you still have a radar sensor, but you can plug in the 4D LiDAR and reduce the need for an advanced radar or completely replace that. So that's something that we see potential as you go into higher volumes where performance over power and performance over cost becomes super critical that this technology is already showing that roadmap for the OEMs. And I think at the end of the day, the biggest thing is OEMs are looking to what we hear really future proof their stack. And now they're moving past this pilot stage. Right? Now we're moving from a pilot stage where there's lower volumes to really mass scale. And we think in the next few years as our ramp up with Daimler Truck and market entry in the ‘26, ‘27 timeframe hits on the road, that's where those higher volume opportunities are going to kick in. And having this capability and then that transition towards FMCW is where we see happening around this timeframe, which brings all this back together, if that makes sense.
Colin Rusch: That's incredibly helpful. And then just outside the automotive space and the transportation space, there's obviously a move towards trying to understand and monetize AI in the physical world, and sensors are an incredibly important part of that. Can you talk a little bit about not just with the metrology opportunity, but other opportunities that you guys are seeing coming your way now that there's some incremental validation on the technology?
Soroush Salehian: Yes. You mean on the nonautomotive side, did I hear that right?
Colin Rusch: Exactly right.
Soroush Salehian: Yes. So absolutely. So, first of all, we have significant interest and growing momentum on the automotive side as you can see and hear from us. But that doesn't mean that we are not doing anything on the industrial side. As a matter of fact, we are fully on track with our Nikon program later this year where that's going to start ramping up. And we are seeing because of the fact that the core innovation of our technology being everything integrated on the LiDAR optical front into the silicon photonics module, we are utilizing that off the same technology, different software to be able to achieve very different performances like metrology and precision on other applications. So, we are engaged with a number of other folks in the industrial side to also expand on the backbone of what we're doing with Nikon, if that makes sense. So -- and as we have more of course we'll talk about that. But I think with what we're seeing is with obviously advancements on robotics manufacturing, advancements with the use of AI, for both vision based as well as now point cloud based solutions that's an area where, we think our technology could also play a role. And as we are able to use this the economies of scale with our production scale for automotive, we think that's going to become a pretty interesting attractive product for these nonautomotive customers to be able to reduce costs while improve efficiency and automation at the factory level, especially on the manufacturing side and kind of robotic side if that makes sense.
Operator: Our next question comes from Kevin Garrigan from WestPark Capital. Please go ahead.
Kevin Garrigan: Yeah. Hey, guys. Thanks for letting me ask the question. I apologize if I missed this. I know you said you were making progress with more passenger vehicles. Have you gotten more interest from other trucking OEMs as well?
Soroush Salehian: Yes, Kevin. Happy to answer that. Absolutely, yeah. We are at this point engaged in multiple RFQs. This includes both passenger as well as commercial vehicles programs. And as I was mentioning earlier, it's always the first win that sets the foundation for others to follow right? So, what we are hearing and we're seeing from the OEMs is that, the Daimler Truck win really helps, derisk the decisions of the OEMs as they move from pilot to production deployments and as they make decisions to go to the next generation especially transitioning to our FMCW technology and that is across passenger as well as commercial vehicles. So, we are seeing interest in both of that. Obviously, Daimler being the marquee brand and key customer for the space, we are seeing others really interested to be able to tap into our technology for their application both in kind of high ADAS as well as automated highway applications.
Kevin Garrigan: Okay, perfect. And then kinda going off that, can you can you give us some color on the processes for both trucking and passenger cars kind of pertaining to not only the RFI and RFQ processes, but also the milestones to get to SOP are -- you know, I would imagine that passenger vehicle OEMs and I may be wrong about this, but they'd be much more kind of stringent on certain tests or validation processes?
Soroush Salehian: Yeah, happy to. So overall actually, in automotive there is number of activities, there's number of standards, there's number of qualifications. When you deal with some of these top brands, it doesn't actually matter I think in terms of where exactly the exact application. There is a certain level of super stringent requirements on qualification needed. For example, Daimler we had to go through significant qualification steps across our manufacturing process, quality and development teams and we were audited, right, and did that. On the trucking side commercial vehicle side actually some of the requirements on performance and reliability and shock and vibe and lifetime actually is much more stringent on the passenger car side. So that's why we see that enabling our technology to be really I would say think of it as mass market OEM tested and proven. And in some ways that makes it easier to also then deploy that into a mass market consumer or passenger vehicle application. But just remember that at this point as I mentioned, at this point we have done this now twice. We have completed last year earlier in the year, we introduced first time the concept of the top 10 OEM, right. And throughout the year, we provided updates. Within a few months after, within a quarter or so after, we were able to pass a comprehensive audit by that top 10 OEM. And we competed manufacturing and quality auditor. And then within six months, we won the program was production went and became Daimler and that's when we announced that, right? So now we are talking about a second time a new top ten passenger OEM and the time to we have done this manufacturing and quality audit by this passenger OEM is now faster than what we talked about last time. So, we are using the maturization of the company not just the product of our organization, of our team, of our processes and we're seeing that significantly across the board, which gives us added confidence as we go towards some of the finalization of these RFQs in the next number of months.
Kevin Garrigan: Yes, that makes a ton of sense. Okay, perfect. Thank you for that.
Operator: The next question is from Suji DeSilva from ROTH MKM. Please go ahead.
Suji DeSilva: Hi, Soroush. Hi, Saurabh. So for Daimler, could you maybe handicap the opportunity to expand beyond, I guess, trucking, which is mainly North America in my -- from what I can tell to additional geographies and then passenger? Just give us some sense if work's already done and how much those could waterfall in versus what a realistic expectation is?
Soroush Salehian: Yes. Sure Suji, happy to answer that. So obviously with Daimler Truck, we're first laser focused on delivering on our first program launch SOP for 2026, right? We're acting at Tier 1 as the exclusive supplier for long range and ultra long-range LiDAR for the series production program. We are obviously working across the board on providing sensors and some of the perception software aspects that we talked about for that program. We're also closely engaged with the Torc team, which is developing of course the autonomy stack. And overall, obviously, we see opportunities in the future to expand this partnership for potentially other markets, other regions and other applications. The whole point is that we're building a foundation of a technology stack, which is really enabling highway autonomy at highway speeds. This can be applied to a number of applications. As I mentioned earlier, you can see that not just commercial vehicle, but now also passenger vehicle OEMs are increasingly looking to expand their operational design domain to higher speeds. And with the NHTSA ruling that requires more than 60 miles per hour automatic emergency braking, we think that's going to be important and kind of requirement for OEMs including passenger car side. So, the short answer is bottom line the developments we're doing is not going to be limited just to a certain use on the commercial vehicle side. We see potential opportunities to expand from there. And as we have more that we can share in the future, if we were able to do that we would of course be talking about it. But we do see opportunity to further expand our partnership here and we'll continue to work together. I just want to mention also that obviously we have a couple of exciting events later this month both with the CEO of Torc Robotics later this week in London actually where we're going to be on stage talking about the latest progress with our program on the production side as well as later this month at the end of the month with the Daimler Truck Head of Autonomous Group at ACT Expo in Vegas who will have some more exciting items to talk about. So, feel free to join at that time.
Suji DeSilva: No, that's great. Great exposure for you guys obviously. I'm going to step back and ask a question about the kind of the process that you went through to win Daimler Truck. Maybe you could enumerate three or four key steps in that as you look back on it. And I'm asking the question in the and trying to understand your pipeline better. Which of those steps did you when you passed it, did you gain the most confidence that you would win this customer? And in the pipeline how many potential customers are maybe already past that phase just to get a qualitative sense?
Soroush Salehian: Sure. Good question. So, I can give you at a high level. Obviously, there is a number of steps and typically the process could take a number of months to one or two years right from the very beginning first conversations. But at a high level there is RFI, RFQ and then of course the final nomination and there's a number of steps in between. I think one of the key milestones is first of all the transition from RFI to RFQ stage which is critical and that is where the final commercial bids as well as the key step which is manufacturing quality audit happen past RFQ stage. And there is kind of a down selection phase maybe sometimes happening during the RFQ phase in which the finalists are picked. So, there's kind of three main, but two checkpoints after the RFQ. So, there's RFQ and two more checkpoints with the audit as well as the down selection. And with Daimler Truck, of course, we've gone through all of those and we were able to since we introduced it early in the year last year advanced to the RFQ stage and then from there, within a quarter or a few months after that we talked about passing the manufacturing audit. And then from there, we became the finalist and we won it just a quarter after that. So within two quarters from RFQ to manufacturing audit finalist and at work. We're now talking about, okay, a number of other programs. There's multiple others, as I mentioned, including passenger commercial vehicles. And we have advanced on a number of those past this RFQ phase. And as I mentioned with this top 10 passenger OEM, we have now crossed both RFQ phase. We have now crossed the manufacturing auto phase. And we have now crossed the finalist being a finalist on that final phase of the RFQ to the nomination. So, we're it's been only a couple of months. We've made significant progress on this program and we're pretty excited about that.
Suji DeSilva: Appreciate that Soroush. It's very detailed. Thank you.
Operator: There are no further questions. Ladies and gentlemen, this concludes the call for today. [Operator Closing Remarks].